Constantin Baack: Good morning, everyone. This is Constantin Baack, CEO of MPC Container Ships, and I'm joined by our CFO and co-CEO, Moritz Fuhrmann. I would like to welcome you to our Q2 2025 earnings call. Thank you for joining us to discuss MPC Container Ships Q2 and Half-year 2025 earnings. This morning, we issued a stock market announcement covering MPCC's second quarter results for the period ending June 30, 2025. The release as well as the accompanying presentation for this conference call are available on the Investors section of our website. Please be advised that the material provided and our discussion today contain certain forward-looking statements and indicative figures. Actual results may differ materially from those stated or implied by forward-looking statements due to the risks and uncertainties associated with our business. Before we dive into the Q2 2025 presentation, let me briefly reflect on the first half of the year. We're pleased to report another strong quarter for MPCC, continuing the momentum from Q1 and highlighting the resilience of our business amidst ongoing macroeconomic and geopolitical uncertainty. Despite a challenging external environment, including regulatory shifts and unpredictable trade policies, the container market remains firm. Time charter rates held up well. The demand in the secondhand market stayed strong and idle capacity remained low. While the global order book's elevated constrained supply in the small to midsize segment and aging fleet and shifting trade patterns support a favorable supply/demand balance. That said, volatility remains as a factor, and we do not expect smooth sailing going forward, and we continue to approach fleet modernization, with discipline and foresight. Maintaining strong investment capacity is critical. Earlier this year, we refined our capital allocation strategy to ensure flexibility for strategic growth. Our disciplined approach has consistently developed strong returns and dividends, and we remain committed to sustainable shareholder value. Looking ahead, we see opportunities to selectively divest, invest and grow leveraging favorable market conditions while staying agile and focused on long-term value creation. We will delve deeper into these themes during the presentation. And with that said, I will now hand over to Moritz to start the first section.
Moritz Fuhrmann: Good morning, everyone, also from my side, and welcome to MPCC's earnings call for the second quarter of 2025. We will follow our usual agenda today, and we'll start with a review of the Q2 highlights, after which we will spend some time on the current market and market developments and then also the outlook for the remainder of 2025. Kicking off with the highlights. There is obviously a continuation of our very strong quarterly performance as we have posted close to $140 million in revenue and around $81 million in adjusted EBITDA for the second quarter. As the very strong container market performance more or less uninterrupted with both charter rates and durations remaining at what we see elevated levels. We have followed our conservative chartering strategy and locking in as long period as available and consequently, our revenue backlog has increased relative to the previous quarter to USD 1.2 billion with 100% of open days covered for the remainder of '25. But perhaps more importantly, we have further improved the company's coverage for 2026, standing now close to 90% of open days already fixed and hence, providing a fantastic earnings visibility into the next year. And as a result of the good financial performance, the Board has declared the company's 15th consecutive dividend was $0.05 per share, representing 50% of the adjusted net earnings for the second quarter of '25. On the asset and fleet optimization side, we have been fairly active, having taken delivery of our second dual-fuel methanol newbuilding vessel in April this year, while at the same time, having sold 10 vessels since the beginning of 2025, of which 8 vessels have already been successfully handed over to its new owners and with the remaining two being expected, hand it over and in the coming months. Part of the sales proceeds have been recycled into our recently announced newbuilding transaction, namely ordering 4,000, 4,500 TEU vessels for a total transaction volume of close to $230 million. The deal features a 3-year time charter to a top 5 line operator, providing a very good cash flow visibility via the derisking of the project and the deal marks a very important continuation of our fleet renewal efforts that we have been emphasizing on for the past year, and it's obviously also a great testament to the company's ability to structure and to execute such deals. On the debt financing side, we have been equally busy arranging two distinct senior secured facilities in the tune of around $100 million at very attractive terms with both existing relationship banks as well as new relationship banks. And one of the aforementioned facilities features a $250 million accordion option which gives us great flexibility going forward in our fleet renewal efforts and also underlines the support MPCC receives from its lenders and further developing and further developing the company. Looking ahead into the remainder of 2025, and as the market remains very supportive, we will continue focusing on further driving our fleet optimization and retrofit program to improve the fleet composition and enhance long-term shareholder value. And in addition, and based on the current markets, we reconfirm the revenue guidance and the EBITDA guidance, which has recently been adjusted. Turning to the next slide, looking at some KPIs for the quarter, gross revenue and adjusted EBITDA have been improved relative to the previous quarter as a result of the continuously supported markets and also more trading days available than actually expected from a balance sheet perspective, and despite having gone under new senior secured facilities, the leverage ratio with 33.6% remained in line with the previous quarter or the net debt position actually decreased to around $130 million, underlining the overall conservative balance sheet structure. As mentioned before, the Board has declared a dividend of $0.05 per share. Which will be paid in September '25, and operational cash flow generation remains strong and slightly above the first quarter at $78 million. While fleet utilization improved to 97.6%, the actual OpEx increased due to catch-up effects from the first quarter as well as one-off nonrecurring items that have been booked in the second quarter. Looking at Slide #5 and spending some time on our recent chartering activity. It is evident that the previously mentioned positive market results in very supportive fixtures for us as a company. The second quarter was generally marked by continued macro uncertainty around tariffs. However, the chartering market remained relatively unaffected. And we certainly continue seeing strong demand from top-tier liner companies, especially for feeder tonnage as a result of the overall scarcity of available tonnage in the market. And both charter rates and durations holding up strongly, as can be seen by the 4 fixtures concluded since our last reporting, the only remaining open vessels in our fleet for '25 were all between 1,700 and 2,500 TEU and we managed to fix all of them, including some forward positions for around 2 years at levels between $21,000 and $26,000 per day. And with such strong coverage, the company's P&L is pretty much shielded from any adverse market movement, if any. On the asset side, we have already successfully delivered 8 of the 10 vessels sold to new owners. The total gross proceeds are close to $130 million and all sales are very much in line with our fleet optimization strategy, meaning that we continue to divest older nonefficient vessels, while the sales proceeds are intended to be reinvested into our fleet renewal and building a future-proof fleet. In addition to the divestments, we have continued to invest and strengthen the fleet's composition and therefore, acquired a 50% share in our 1,300 TEU dual-fuel methanol newbuilding to be delivered in '26 from our joint venture partner streamlining the corporate structure, which means that the vessel is now fully owned by MPCC. On the next slide, we spend a bit more time on the investment side and the recently announced newbuilding order by MPCC, which marks the largest transaction on the newbuilding side to date. MPCC has ordered 4,000 4,500 TEU vessels at Taizhou Sanfu, a yard well known to us for a total consideration $230 million. The vessels are scheduled for delivery in the second half of '27 and first half of '28. In addition to the firm order, we hold options for further vessel orders, potentially scaling the total investment. Most importantly and from an investment perspective, we have in parallel to firming up the order lined up a 3-year time charter with a top-tier liner company for all four vessels. And the corresponding contracted revenue is around $140 million and the projected EBITDA is around $100 million, which not only improves the company's backlog. It also provides good earnings visibility on a project level as well as derisking. And at the same time, allowing us to retain upside potential on this respective transaction. And generally, we see a relative strong dislocation within the container market as well as the order book to fleet structure, especially in the feeder segment is, in our view, very compelling and requires substantial fleet renewal in the coming years, but the Constantin will speak to it later in the market section. Obviously, needless to say, these vessels, these are the latest energy-efficient technologies and will be amongst the most efficient vessels in the respective size bracket was delivered, being estimated to operate around 50% more efficient compared to existing vessels on the water. And although being conventional, there is a very clear path to methanol or ammonia retrofit in the future if we decide to invest in such retrofit. This investment marks another very, very important milestone for us as a company, and it's a very clear continuation of our fleet renewal efforts that have started a few years ago, and this becomes more and more important as regulatory pressure increases over time and in the foreseeable future, but also to build a long-term vessel portfolio that will generate a sustainable shareholder returns in the foreseeable future. Turning to Slide #7. The cash flow in the second quarter of '25 was dominated by the good operating cash flow of $78 million as well as sales proceeds from vessel sales generating a net amount of around $46 million, that's one, and two, by $71 million in additional debt drawdowns throughout the quarter. All those measures substantially improved the company's cash position as well as the, obviously, investment capacity to around $360 million by the end of June. And in addition to the balance sheet liquidity, we retain further flexibility through $75 million in undrawn RCF capacity as well as in accordion option together with the recently drawn senior secured financing. The positive cash generation was slightly offset by investments into our fleet and regular debt repayments. And last but not least, MPCC continues to reward shareholders, having paid its 14th consecutive dividend in the amount of $36 million at the end of June and more than USD 1 billion in dividends have been paid over the past 36 months, which we think it's a very strong testament for the company's emphasis on prudent capital allocation as well as sustainable shareholder return. Today, the Board has declared the next dividend, which is 50% of the adjusted net earnings to be distributed to shareholders, basically representing the upper end of the new dividend policy range being 30% to 50%. And going forward, we will continue to emphasize on shareholder return as it has -- as we have in the past, which will be either through cash distributions or a combination of cash and share buybacks. However, always within the policy range of 30% to 50% of adjusted net earnings. Also importantly, with the adjusted distribution policy, we will continue to optimize MPCC's fleet composition, building a future- proof fleet that will benefit shareholders from a long-term perspective while continuing to keep a sustainable -- a sustainable dividend. Skipping to Slide #8. We see MPCC's quite conservatively structured balance sheet. We have year-to-date executed on a number of measures, namely vessel divestments and secured and unsecured debt facilities to improve the company's liquidity position and therefore, MPCC's investment capacity. By the second quarter, liquidity stood at $360 million. However, on a pro forma basis or pro forma adjusting for subsequent events or measures that are in execution, MPCC has a pro forma and slight liquidity of $485 million, including undrawn RCF capacity. RCF capacity, in our view, or in view of fleet renewal efforts and the corresponding investment capacity is absolutely essential. However, MPCC managed to achieve this capacity without compromising on the overall robustness as well as flexibility of the balance sheet. We have a conservative leverage ratio of 33.6%. And in addition, very importantly, we have 27 debt-free vessels with a fair market value of around $600 million and while gross debt has increased on a pro forma basis to $535 million. The net debt remains quite low and the vessel portfolio with a charter-free market value of around $1.5 billion, $1.6 billion provides additional comfort. The company obviously will ensure to use the investment capacity as prudently as it has done in the past by identifying and executing on shareholder accretive transactions that will help building a future-proof fleet. And clearly speaking, all in all, we remain very disciplined on the capital allocation side of things, as we have always done. And on that note, I hand over to Constantin for the market update and the outlook section.
Constantin Baack: Yes. Thank you, Moritz. I would like to continue with the next agenda point, the market. Back in the first quarter, I noted that volatility is here to stay in Q2 has certainly confirmed that view. Looking ahead, we expect this environment of heightened uncertainty to persist, not only through the remainder of the year, but well into the foreseeable future. The second quarter was quite eventful, and some of the events are listed here on this slide. Multiple headwinds have further deepened the volatility, building on the challenges already evident in Q1. Geopolitical tensions in the Middle East intensified culminating in the sinking of two vessels in the Red Sea with security risks persisting, there remains no clear time line for a resumption of traffic through the Suez Canal. In parallel, evolving U.S. trade policy, particularly shifting tariff announcements added further uncertainty impacting trade flows and also demand expectations. Against this backdrop freight rates saw a temporary spike in early June, but quickly retreated as demand softened. Charter rates remained notably resilient throughout the second quarter, holding at elevated levels despite broader market volatility. The strength was underpinned by limited vessel availability and consistent fixture activity. Having said that, July brought a noticeable slowdown with fixing activity declining by approximately 40% compared to the average of the first half of the year. Encouragingly, due to the lack of available prompt positions, forward fixing has gained momentum, following a subdued first quarter with vessels now being secured further in advance. The number of ships expected to be opened within the next 6 months is 43% lower than during the same period last year. Notably, availability is particularly constrained in the larger sizes with very few units remaining open for the remainder of 2025. Looking at the container market more broadly, sentiment remains constructive despite ongoing economic and geopolitical uncertainties. So far, tariff threats, regional tensions and congestion at major European ports have not negatively impacted the container market. On the contrary, geopolitical disruptions have supported demand for tonnage at the time when supply remains tight. This resilience in the charter market is also reflected in asset values which I will address in more detail on the next slide. Turning to the S&P market activity in the container sector remained steady and in line with the previous quarter. despite the traditionally quieter summer period, we observed a consistent flow of transactions and ongoing demand for tonnage. In total, approximately 60 asset transactions were recorded during the reporting quarter. Reflecting a similar level of liquidity as seen in Q1. Eco tonnage in the feeder segment continues to attract high interest. Though the limited pool of available candidates has led to increased competition among buyers. According to Alphaliner, some owners remain undecided between locking in attractive charter rates or capitalizing on historically high second-hand prices through asset sales. The sustained interest in vessels has driven further appreciation in asset values. The Clarksons secondhand price index rose from 76 points at the end of Q1 to 79 points by the close of Q2, representing a 4% increase quarter-over- quarter. Looking at the newbuilding market contracting activity in the Container segment remains elevated, particularly when compared to other shipping sectors. The increased sophistication of newly ordered vessels, combined with strong forward coverage at shipyards and ongoing cost inflation has kept newbuilding price indices hovering near historical highs. Speaking of the new building markets and turning to the next page, you can see that the order book itself has also hit an all-time high at the start of the second quarter with 9.5 million TEU corresponding to an order book-to-fleet ratio of 30% at that time. When considering the order book itself, as shown on this slide, it appears logical that a relative slowdown could be observed during the second quarter. However, another 1 million TEU has been ordered during Q2 2025. This brings total contracting for container ships for the first half of the year to 218 vessels and 2.2 million TEU. In contrast to previous quarters feeder tonnage accounted for a slightly higher share in terms of numbers, 36 out of the total of 98 units or over 1/3 of all vessels ordered in Q2 2025 were attributable to container ships with the capacity below 3,000 TEU. As the in-service feeder fleet is aging and needs to be replaced, tonnage provider -- tonnage buyers are opting for vessels with less than 6,000 TEU the order book-to-fleet ratio in the smaller sizes is still fairly low. And for the segment below 8,000 TEU. The order book does not cover the replacement needs that is expected to arise in the next years. European tonnage providers have been busy commissioning ships. Such orders are often letters of intent, so-called LOIs in speculatively without charters attached and often not confirmed yet. MB Shipbrokers, for example, noted that various buyers. We're working to secure slots for feeders and midsize ships for Chinese yards. Most of the recent orders are however, for conventional dual- fuel ready vessels. Given the fact that 58% of the vessels below 6,000 TEU are 15 years, newbuilding investments in the feeder and mid-sized segment is still a bright spot at present with inquires and interest still coming from liner operators. Recently, they have also been firm newbuilding orders with charter cover attached and as our 4500 TEU newbuilding with 1 of the top 5 liner companies confirmed. When talking about smaller vessels, we should also look towards the trades they're usually deployed in and that brings me to the next slide, basically running to intra-regional markets and non-mainlane trades where our feeder and mid-sized vessels are primarily deployed. We continue to see strong and resilient market fundamentals. Unlike the mainlane trades, which are projected to grow at a modest 0.6% compound annual growth rate. Intra-regional container trade, a core focus for the MPCC fleet is expected to grow at significantly stronger pace of 3.5% annually over the coming years. This outperformance is driven by several key factors. Firstly, emerging markets are expected to deliver higher GDP growth and advanced economies translating into increased container volumes on regional trade lanes. Secondly, intra-regional trade volumes exceed -- or already exceed those of mainlane trades, underscoring the scale and strategic relevance of these markets. The continued diversification of supply chains is another aspect, which includes near shoring and regionalization, which will further support robust volume growth in these segment. While regional demand remains a clear growth engine. We are also mindful of the headwinds facing in the industry, including regulatory developments, macroeconomic uncertainty and environmental changes. As we look ahead, the market continues to be shaped by a range of uncertainties as we've shown on this slide. However, these challenges also present opportunities. The very forces disrupting global shipping are acting as catalysts for innovation, differentiation and also long-term resilience. And as such on this slide, we have illustrated four key factors shaping the future trajectory of the market. Firstly, U.S. trade policy. Trade policy out of Washington remains a major source of uncertainty. The potential escalation of tariffs could deepen fragmentation and global trade patterns impacting volumes and routing decisions. Secondly, geopolitical tensions, ongoing conflicts and security risk in the Middle East, particularly along the Suez route, are expected to prolong rerouting and reshape global freight force. These dynamics will continue to influence shipping demand and capacity deployed. Thirdly, fleet development, contracting momentum is shifting towards smaller and midsized vessels. As of July 2025, the order book- to-fleet ratio reached 30.2%, 2.2 million TEU as mentioned earlier, orders in the first half of the year. Deliveries are projected to accelerate in '27 and '28 with an estimated 3 million TEU entering the market. And lastly, feeder fleet renewal. Despite recent interest in feeder newbuild replacement tonnage for the aging feeder fleet remains insufficient. We have talked about it throughout the last quarterly presentation, and we will talk to that in our outlook section again. But with regional trade forecast to outpace mainlane growth, demand for modern feeder capacity is expected to strengthen significantly. This is the opportunity that we identified and acted on with our latest newbuilding order which positions us to capture growth in high-performing segments. And with that, let me turn to the next part of today's presentation, the company outlook. Starting with our charter backlog. On the left, you can find some details on MPCC's forward coverage, illustrating that we are well covered for the quarters ahead. As explained in detail by Moritz, we have continued to utilize the strong charter market during the first half of 2025 and also further building out the backlog with our latest newbuilding projects. On the back of this, and in combination with our recent newbuilding order, we have added additional value to our backlog, even increasing our backlog figure compared to the status at the end of the previous quarter. And we now have a revenue contract backlog of around $1.2 billion and the projected EBITDA backlog was USD 0.7 billion. In terms of coverage, we are now at 100% of all operating days covered. And for '26, we have further increased our coverage to around 89% up from 77% shown in the Q1 update and a figure of around 34% for 2027 in terms of operating days covered. The degree of forward revenue visibility for the next 2 years has, in fact, never been better than it is today since we established MPC Container Ships. On the right-hand side, we show the upcoming and fixed charter positions of our fleet in '25 and '26. We have only four possible open positions until the end of the year '25 left. This relates to vessels with a flexible redelivery window based on the present rate environment and our expectation is these are very likely '26 positions. For '26, we have 25 charter positions open and the distribution of the open positions for '26 by quarter are also shown in the overview on this slide. As you can see, almost half of the position are Q4 2026 positions. And on a few of these forward positions we are presently already in dialogue with some of our charter clients regarding early extensions. Let's look at some measures that we have taken and how we will move forward strategically on the next slide. As discussed in the market section, global developments ranging from geopolitical tensions to economic uncertainty and regulatory shifts continue to shape the landscape. And while it's important to keep these factors in mind and take them into account for our decisions, our operational focus remains on executing the strategy of things that are within our control with discipline and precision. Doing what is within our control means focus on ensuring safe and reliable operations of our fleet. Invest in our fleet on the water, that for example, means retrofit, continue to build strong relationships and be a good partner to our charter clients, executing charter package deals or strategic new buildings with our partners. Maintain high balance sheet flexibility. That is a moderate leverage. As Moritz has alluded to, keep a significant part of the fleet unencumbered, maintain sufficient investment capacity, et cetera. Carefully weigh up risk and rewards in particular in growth investment decisions as we have done with our newbuilding order, but not stand still and do not be afraid to take decisions to roll the business. And having said that, fleet renewal is in our firm opinion a very important element in order to create long-term value for shareholders. And now on this slide, you can see how we developed the company over the past years. You can see the status of some more financial KPIs and some more fleet related KPIs end of Q3 2021 and today. Looking at the upper three elements, which is the more financial part, we have rebuilt the revenue backlog, which as I explained, now stands at $1.2 billion. compared to roughly $1.1 billion in Q3 2021. And in the meantime, we have distributed more than $1 billion in dividends. So we have rewarded investors and will continue to do so. We have further freed up collateral and further strengthen the balance sheet and the investment capacity of the company, as alluded to by Moritz and not shown on the slide, but we have also been able to bring down the cost of debt of the company quite significantly. Looking at the fleet, the lower part of the lower three items of the debt here. We have divested a number of vessels and also invested significantly in modernizing the fleet or on this I will explain on the next slide. Furthermore, compared to 4 years ago, we have been able to bring down the average age of the fleet from 15 years to 13 years today, which is 4 years later. So we have been able to significantly reduce the average age. And yes, that's at the very bottom left of the slide, part of the fleet has aged like the global container in general. And hence, we strongly believe that we further need to renew the fleet in order to continue to create sustainable long-term value for the company and our shareholders. That brings me to the next slide, where I would like to talk a bit more details to our fleet renewal efforts and how we intend to continue to modernize the fleet and create long-term value. On the top left, you can see an overview of the largest tonnage providers on nonoperating owners in the sub 6,000 TEU segment. Looking at our fleet, as briefly mentioned on the previous slide, we have substantially invested into our fleet. Breaking down our portfolio in 4 categories, you can see that we have now around 53% equal share based on number of vessels and actually closer to 60% if we would look at it the same figure weighted by TEU. And we have invested more than USD 800 million to renew the fleet by carrying out a number of measures. And that includes the following as illustrated right-hand side. We have invested around $500 million in nine newbuildings, including three dual fuel methanol vessels. We've acquired over the last couple of years, nine modern secondhand eco vessels for more than $300 million. And we have carried out substantial hydrodynamic and energy efficiency measures on more than 20 vessels for more than $30 million and there is more to come on that part. This we have done in most cases, in close partnership with our charter clients, for example, against charter extensions, creating win- win situations. And then lastly, we have the conventional pool of vessels, for which we constantly analyze the options, carry out retrofits, continue to trade the vessels and charter them out and to generate cash flows or a combination of the two or certainly, at all times, consider divestments if the prices rise and attractive. And going forward, you can expect us to generally continue that trajectory. Always looking at geopolitical macroeconomic and market developments, of course, and adjusting the cost if required. And certainly, we will continue to also seek attractive opportunities from value dislocations should they arise. As explained in the past and as also shown on this slide, we firmly believe MPCC has a strong value proposition with significant upside. Let me explain why. As you can see on the left-hand side, the current enterprise value is fully covered by the projected EBITDA backlog of around USD 0.7 billion and the recycling value. further significant upside potential from the existing fleet of 55 vessels, which are, as I explained earlier, by now significantly younger on average than they have been 4 years ago. And earnings capacity, the future earnings capacity linked to those ships. In addition, we have run an indicative sensitivity analysis on open rates based on the charter coverage and open days of the MPCC fleet in two scenarios, and that is illustrated on the right-hand side. The current market rates in gray and the 10-year average rate from Clarksons -- sorry, the current market rates in blue actually the 10-year average rate from Clarksons in gray. The outcome, you can see on the right side of this slide, underpinning not only the resilience of our earnings capacity going forward for '26 and '27, but also the earnings upside potential that is significant. Before we now open the floor for questions, let me summarize some key takeaways from today's call. Q2 has been another strong quarter for MPCC driven by high fleet utilization and solid operational execution. Our strategic fleet extension through the addition of four advanced newbuildings position us for long-term growth and continued competitiveness. We have further enhanced our financial flexibility with $100 million in loan facilities and an up to $250 million accordion option, ensuring we remain well capital to pursue future opportunities. In line with our renewed capital allocation strategy, we are distributing out 50% of adjusted net profit as dividends reaffirming our commitment to delivering robust shareholder returns. Our disciplined strategy, robust financial position and proven ability to generate value in complex market, positions us MPCC to capitalize on emerging trends and deliver sustainable growth for our shareholders. And finally, despite geopolitical volatility, we remain resilient. We are confident that with our disciplined strategy and strong investment capacity, we will be in a good position to navigate uncertainty and sees emerging opportunity with confidence in order to continue to generate value in complex markets. Thank you very much for your continued trust support. And with that, I open the floor for the questions.
Constantin Baack: There are a number of questions that have come in. I would start with the first one, and that is related to the dividends. Why is the dividend declining so sharply compared to the past challenging years. I mean, we discussed the dividend very extensively during the last quarter and this quarter, and we have explained that we continue to be fully committed to a dividend. We have adjusted the dividend policy in the last quarter. And we're now paying out at the high end of the range with 50% payout ratio, which we deem very significant. Obviously, there is a reduction compared to the 75% in the past. But as we've explained throughout the presentation, it is about balancing between creating long-term value for the company and for shareholders, which we do by carrying out strategic investments and still rewarding shareholders with a significant dividend, and that is reflected in the figures. There is another question by -- for the market, how has the introduction of hub-spoke network, specifically the Gemini Corporation between Maersk and Hapag-Lloyd impacted feeder markets that's part one. And the second one is with the U.S. Trade Representative USTR introduction, new port call fees, particularly targeting Chinese newbuilds and operating vessels. What are the potential implications for Caribbean to U.S. feeder services. Let me start with the first one on the Gemini corporation. This, in fact, and we have discussed that in previous quarters has had an impact of, in particular, those two names securing certain tonnage a few quarters back ahead of the implementation and rollout of the Gemini Alliance. It has obviously changed, to some extent, the hub-spoke network in certain regions of the world. I would argue there it has more slack in the system, meaning they -- the Gemini Alliance operates more ships, utilizes more ships, which is obviously good because it also means utilizing more feeder ships. And we have actually seen quite some additional demand coming from the Gemini Alliance implementation. And going forward, I do believe that with shift in trading patterns, new hub-spoke networks might surface and might be implemented also by other alliances. And therefore, I think in general, that has a net positive effect on the feeder markets. On the USTR and the new port call fees specifically targeting a Chinese built and operated vessels, there are certain implications, I guess, they are not yet fully visible given the fact that a lot of the liners are still adjusting their cost for probably -- there's for example, one-liner company who is considering to increase the larger vessels going into Kingston, and then feedering from there. There are other companies taking a slightly different approach. We do believe that it will, in any case, create more feeder demand going forward because there will be fewer port calls and hence, the ports need to be connected by the means of smaller vessels. And the U.S. obviously targets vessels above 4,000 TEU. So the smaller vessels are actually, in our view, a potential net beneficiary of the whole development.
Moritz Fuhrmann: And there's a question on the newbuilding side of things. What are you seeing in terms of similar deals as the four newbuildings with charters derisking part of the investment? Do you believe it is likely you will enter similar deals over the coming months? I think we have mentioned in the presentation that we do hold options for sister vessels at the same yard at the same pricing which obviously have not been executed yet. We are, as we speak, trying to replicate what we have done on the 4 new builds, basically saying that we're looking for either the same charterer or other high-profile names who would be interested in taking those vessels on a mid- to long-term charter, basically providing a derisking because we will continue walking the talk, meaning speculative orders are not on the agenda in MPCC. So if we were to enter a similar or other new building transactions, we would always try to combine with the longer-term charter. And generally speaking, and as we have emphasized several times throughout the presentation, we do see continued investment need from an MPCC perspective because parts or a larger part of the fleet has been aging to a degree that we deem it necessary to replace those ships in the foreseeable future. So yes, speculative orders are not on the agenda, so we're trying to continue combining a newbuilding order with the long-term charter.
Constantin Baack: Then there is another question regarding contracts that has been established, for example, '25 and '26 are there risks of contract cancellations I think that is obviously a question around the counterparty consolidation or the contractual constellation. I mean, in general, these contracts cannot be canceled. These are firm time charter contracts legally governed and safe. Of course, there has been times where our contracts have been renegotiated. We do not foresee that in '25 and '26, given that the container liner operators that are our counterparties have the strongest balance sheet they have had in history. Most of them have a net cash position, so very strong counterparties, and we do not see any risk of contract renegotiations or cancellations. What we have seen and what we have also done is strategically to maybe consider an extension of the charter against the balancing out of the rate. Even that we haven't seen over the last couple of years in -- on many occasions, we have seen that once or twice potentially. But we would only do that if it's in the benefit of MPC Container Ships. And we do not see any risk neither on the, let's say, contractual side of contracts being able to be canceled nor a renegotiation of the rates. As the second question on that part. And this is related to the replacement need that we alluded to on Page 12. And the question is what do you mean by the order book does not cover the replacement need that will arise over the next years in MPCC's core segments. What we mean specifically on Slide 12, where we show the age structure of the order book as well as the order book-to-fleet ratio that we presently have around 4,000 vessels in our segment between 1,000 and 8,000 TEU of these around 1/4 is above 20 years of age and will require to be renewed in the next 5 years potentially. The order book in contrast is only single digit, compared to the fleet on the water. So there's a structural need to replace these vessels by virtue of age of the fleet. We'll also see given the latest geopolitical developments that they will also be shifting trading pattern, possibly or likely in our view, benefiting more flexible ships, which is the smaller ships. So we also see a structural demand growth that we might foresee in the next 3 to 5 years when you look at the slightly smaller vessels. So both from the demand side, but certainly from the age structure and supply side, and the age of the fleet on the water as well as the order book for the specific segment where we involved that there is not sufficient orders being placed at the moment. We have expected that to come over the last couple of quarters and years actually. And now we actually see more activity there, but I'm not overly concerned at this stage that this is too much. To the contrary I think it's desperately needed. And what we see in terms of orders is yet insufficient to cover the replacement needs for the specific sector.
Moritz Fuhrmann: There's one seems to be a final question on capital allocation, a usual one that we get almost on a quarterly basis, will share buyback be part of the distribution equation is the first question. And the second question is what shareholders can expect in terms of distribution or recurring distribution, whether 30% or 50% going forward. I think to start with the second question, that obviously will be assessed. The new distribution policy has been put in place to see. We'll make sure to obviously to continue doing that going forward. This quarter, we have distributed as mentioned, the sort of the upper part of the range, meaning 50% the adjusted net earnings. And I think it's fair to say that as long as the market is performing as it is now, we'll try to continue distributing in that range. And on the first part of the question in terms of share buyback, and that's also, as previously mentioned and communicated investors. We have a quarterly discussion with the Board, and it is being discussed whether there will be cash distribution share buyback. We have done share buybacks in the past. It is always part of the equation. It will also be assessed going forward. However, I think it's important to say that if there should be potentially also combination of cash distribution and share buybacks will always be within the communicated range of 30% to 50% of adjusted net earnings.
Constantin Baack: Since there's no further questions raised, we would like to thank you for your interest and for the participation in this call. We are looking forward for to the second half of this year to 2026, and we are confident that we will see a couple of more interesting times ahead. Yet we feel very well prepared for that and we are confident to be able to deliver further value and create MPCC as a valuable long-term and sustainable company in the market. Thank you very much for your attention and all the best. Bye-bye.